Operator: Good day, and welcome to the China Index Holdings Limited Fiscal Year 2022 First Fiscal Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  As a reminder, this call maybe recorded. I would now like to turn the call over to Jessie Yang, Head of Investor Relations. You may begin.
Jessie Yang: Thank you, operator. Hello everyone, and welcome to China Index Holdings' first quarter 2022 earnings conference call. Joining us today to discuss CIH's results are our CEO, Ms. Yu Huang; and Deputy CFO, Ms. Lili Chen. After the prepared remarks, our management will answer your questions. Before we get started, I would like to remind you that during the course of this conference call we may make forward-looking statements, statements that are not historical facts, including statements about our beliefs and expectations. Forward-looking statements involve inherent risks and uncertainty. A number of important factors could cause actual results to differ materially from those contained in any forward-looking statements. CIH assumes no obligation to update the forward-looking statements in this conference call and elsewhere. Potential risks and uncertainties include, but are not limited to those outlined in our public filings with the SEC, including our Form F-1. Now I would like to walk you through our first quarter 2022 results. After which, Ms. Huang will answer your questions for the Q&A session. In the first quarter of 2022, CIH reported total revenues of RMB118.5 million, a decrease of 11.4% from RMB133.7 million in the corresponding period of 2021, primarily due to the broad macro environment challenges the industry was facing. Revenues from information and analytics services, SaaS, were RMB56.6 million in the first quarter of 2022, a decrease of 11.2% from RMB63.8 million in the corresponding period of 2021. Revenues from marketplace services were RMB61.9 million in the first quarter of 2022, a decrease of 11.6% from RMB70 million in the corresponding period of 2021. Cost of revenues was RMB21.7 million in the first quarter of 2022, a decrease of 14.1% from RMB25.3 million in the corresponding period of 2021, primarily due to the cost-saving actions CIH has taken in response to the broad macro environment challenges. Operating expenses were RMB51.4 million in the first quarter of 2022, an increase of 8.1% from RMB47.6 million in the corresponding period of 2021. Selling and marketing expenses were RMB24.5 million in the first quarter of 2022, a decrease of 7.4% from RMB26.5 million in the corresponding period of 2021, primarily due to a decrease in personnel costs. General and administrative expenses were RMB26.9 million in the first quarter of 2022, an increase of 27.6% from RMB21.1 million in the corresponding period of 2021, primarily due to an increase in bad debt expense and the accrual of professional fees. Operating income was RMB45.3 million in the first quarter of 2022, a decrease of 25.5% from RMB60.8 million in the corresponding period of 2021. Income tax expenses were RMB7 million in the first quarter of 2022, a decrease of 24.1% from RMB9.2 million in the corresponding period of 2021. Net income was RMB41.9 million in the first quarter of 2022, a decrease of 25.9% from RMB56.6 million in the corresponding period of 2021. Due to current unstable market conditions, management believes CIH's 2022 annual revenue is expected to decrease approximately 10% year-to-year. These estimates represent management's current and preliminary views, which are subject to change. We are now open for questions. Operator, please go ahead.
Operator:  Our first question comes from . Your line is open.
Unidentified Analyst: Hi. Can you talk a little bit about -- there's not a whole lot of trading volume of your shares. Are you thinking about potentially listing your shares locally in some other market rather than the U.S.? What are your thoughts around and the sort of trading plans for your share listing? Thanks.
Jessie Yang: Okay. Thank you. Please give me a moment to translate the question.
Yu Huang:  So at the moment, we are observing the capital markets closely and we are analyzing and we will make decisions accordingly. And if we have made such decisions, we will release press releases. So please follow our IR web page. Thank you.
Operator:  I'm not showing any additional questions at this time. Please proceed with any further remarks.
Jessie Yang: Thank you, operator, and thank you, everyone, for joining China Index Holdings' First Quarter Earnings Call today. We look forward to speaking with you again for our second quarter 2022 earnings call.
Operator: This does conclude the conference call. You may now disconnect. Everyone, have a great day.